Operator: Good morning, and welcome to Agios' Third Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session at the end. Please be advised that this call is being recorded at Agios' request. I would now like to turn the call over to Kendra Adams, Senior Director, Investor and Public Relations of Agios. Please go ahead.
Kendra Adams: Thank you, Charlotte. Good morning everyone and welcome to Agios' third quarter 2016 conference call. You can listen to a live webcast with slides or a replay of today's call by going to the Investors and Media section of our website, agios.com. With me on the call today with prepared remarks are Dr. David Schenkein, our Chief Executive Officer, who will review highlights for the third quarter; Dr. Chris Bowden, our Chief Medical Officer, who will discuss our clinical development activities; Andrew Hirsch, our Chief Financial Officer, who will summarize Agio's third quarter 2016 financial results, and Dr. Scott Biller, our Chief Scientific Officer, will also be joining for Q&A. Before we begin, I would like to remind you that today's discussion will include statements about the Company's future expectations, plans, and prospects that constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the Risk Factors section of our Annual Report on Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views change. With that, I'll turn the call over to David.
David Schenkein: Thanks, Kendra. Good morning everybody, and thanks for joining us today. The driving force behind the work we do here at Agios and what personally motivates me is a position, is a desire to create medicines with the potential to transform patient’s lives. This past quarter, we made meaningful progress across the business that helps to advance our groundbreaking science and begins to transition Agios from a pure R&D company to a global commercial stage company with worldwide rights to two late stage medicines. During the third quarter, we executed against our late stage development goals for our IDH mutant inhibitors, advanced our PKR activator programs toward molecule selection and strengthened our balance sheet through a recent financing. In September, we and Celgene announced our plan to submit an NDA for enasidenib, formerly AG-221 in relapse refractory AML by the end of 2016, just three years since we dozed our first patient. The NDA will be based on data from the ongoing phase 1, 2 trials in patients with advanced hematologic malignancies with an IDH2 mutation, transforming Agios from a blank piece of paper to our first NDA filing in seven years is a reflection of the quality of our research and the focus of our execution. We plan to follow a similar path for our second IDH inhibitor AG-120, which could result in an NDA submission in 2017. These are milestones that will enable us to make an extraordinary impact on patient’s lives with our first approved medicines. Our PKR activators, which showed impressive data earlier this year at EHA have the potential to deliver the first disease modifying therapy to patients with pyruvate kinase deficiency, a rare and debilitating anemia. These are two areas where we're leading the science and have the potential to deliver the first targeted medicines to patients. Our developing milestones, including AG-120regulatory timeline, PKR molecule selection and PKR pivotal trial design are on track and we expect to provide an update on these milestones in early 2017. In addition, we remain on track to initiate preclinical work for the MTAP program and we'll update you early next year. Looking ahead to ASH, a total of seven abstracts have been accepted and three have been selected for oral presentations. These abstracts which we expect ASH the post online this morning feature an array of clinical and early scientific data that demonstrates our continued leadership in the field of cellular metabolism and the potential for our PKR and IDH programs to have a meaningful impact on patients lives. I'm also excited to have our new Chief Financial Officer, Andrew Hirsch on the call with us today. Andrew's 20 years of experience in a range of strategic and operating roles will be invaluable as we prepare to launch our first medicines and build a sustainable, long-term global biopharmaceutical company. I'm looking forward to his contributions to the team as we build Agios for the future. I'll now turn the call over to Chris to discuss our clinical activities.
Chris Bowden: Thanks, David. We have a robust dataset at ASH this year across both our IDH and PKR portfolios that demonstrate the potential for these molecules to improve patient outcomes. Updated data from both our AG-120and PKR lead programs highlight the advances we continue to make in the clinic, while new scientific findings keep us at the forefront of these fields. Starting with our IDH1 inhibitor, our AG-120 abstract has been selected for an oral presentation. The dose escalation data in this abstraction shows that AG-120 continues to demonstrate impressive single agent activity and durable responses in a very safe patient population. We will also be presenting molecular data for the first time measuring mutant IDH1 levels in a subset of patients treated with AG-120. Some patients with a complete remission also had mutational clearance where no detectable IDH1 mutant clone in found in their bone marrow or peripheral blood. This suggest some patients on AG-120 are experiencing a deeper response in a molecular level, highlighting the profound activity of our drug. We will continue to push the science in this field and are excited to present these data which will include longer follow-up in San Diego. As we had previously noted, data from the expansion cohorts will not be shown at this year's ASH and enasidenib data that Celgene submitted in myelodysplastic syndrome has also been accepted for an oral presentation at ASH. Agios and Celgene plan to support investigator initiated trial in MDS that is expected to begin in 2017. We have a clear goal with our IDH inhibitors to one day provide a therapy for every patient who has an IDH mutation, regardless of their tumor type or stage of disease. The clinical activity unique mechanism and safety profile of our IDH inhibitors combined with the convenience of a once a day pill gives our medicines the potential to change the treatment paradigm for AML patients with these mutations. We are working hard to get our medicines to waiting patients by supporting Celgene's NDA submission for enasidenib and are exploring a similar expedited regulatory strategy for AG-120, which could result in an NDA submission in 2017. Moving our drugs to the front line setting is an important component of our development strategy and will enable us to help more patients earlier in their diagnosis. We have two trials underway combining enasidenib and AG-120 with both VIDAZA and standard-of-care intensive chemotherapy. We are also planning to begin a phase 3 frontline study for AG-120 in the first half of 2017. For patients with IDH mutated solid tumors, we continue to explore the potential for our IDH inhibitors where the use of a differentiation therapy is an opportunity to help a large number of patients with difficult to treat these. We are evaluating four expansion cohorts in different tumor types to build our findings from the AG-120 phase 1 dose escalation. We'll have the first look at expansion cohort data in glioma patients at the Society for Neurooncology annual meeting in Scottsdale, Arizona later this month. Low-grade glioma is the disease where patients have limited or no treatment options and are in need of new therapies. Drug development in this space will need to explore novel endpoints and imaging techniques. The data snows the first safety and efficacy readout for AG 120 in the fine cohorts of patients with low-grade glioma treated with a 500 milligram daily dose of AG-120. Importantly, we are assessing tumor growth using MRI volume metric assessments and this cohort is critical to establishing standard imaging protocols across collaborating institutions, as we explore novel imaging approaches to assess drug activity. In chondrosarcoma, we will present expansion cohort data at the Connective Tissue Oncology Society annual meeting in Lisbon next week. This cohort is now closed for enrollment and we are considering a variety of clinical development approaches and company-sponsored studies to cooperative group collaboration. In cholangiocarcinoma we remain on track to initiate a randomized study by the end of the year. As they evolve over time, these data will inform future studies of AG-120 and AG-881 our brain penetrant PAN IDH inhibitor. Our development strategies for glioma and other solid tumors will be executed on a disease by disease basis as data continues to emerge from our expansion cohorts and a discussion with investigators and regulatory authorities, where appropriate. Moving to our PKR activator program, our AG-348 phase 2 study in patients with pyruvate kinase deficiency, also known as DRIVE PK has also been accepted for an oral presentation at ASH. The first data we presented from this study at EHA in June demonstrated a profound sustain change in hemoglobin levels of nine out of 18 patients with pyruvate kinase deficiency. Data in the abstract continue to demonstrate robust activity and support pivotal development of our PKR activators in this rare anemia. At ASH we will present updated data with additional patients and longer follow-up and analysis of hemoglobin response by genotype. We will also be presenting updated phase 1 data from the AG-519 healthy volunteer study. Data in the abstract continue to demonstrate a favorable safety profile and robust dose-dependent changes in ATP and 2, 3-DPG levels consistent with PKR enzymes activation. We are also excited to present the first metabolic data linking AG-348 impact on hemoglobin levels with activation of the PKR pathway in patients with pyruvate kinase deficiency. In order to increase our understanding of the underlying biology of pyruvate kinase deficiency, we conducted additional studies on the red blood cells of the small subset of DRIVE PK patients. In this subset patients who had hemoglobin level increases greater than 1 gram per deciliter on AG-348, experienced a greater than 50% average increase in the rate of metabolism of the PKR pathway, well those with less than 1 gram per deciliter increase did not experience this change. These preliminary findings are the first demonstration of a direct link between increase pathway function and increases in hemoglobin levels in patients with AG-348. Updated analyses including additional patients will be presented next month in San Diego. Our work evaluating the role of iron overload is helping shape our understanding of the significant disease burden these patients face. Updated data covering this topic from the ongoing natural history study, sponsored by Boston Children's Hospital will be updated at ASH. Data available in the abstract continue to demonstrate the life-threatening iron accumulation into vital organs can be found in patients regardless of disease severity or transfusion status is potentially associated with liver fibrosis, endocrinological abnormalities, and cardiac events. These data also identify splenectomy is a potential cause of iron overload, highlighting the need for therapy outside of this intervention. We remain on track to select a PKR molecule based on the totality of data from both the AG-348 and AG-519 programs and finalize pivotal trial design by the end of this year and expect to provide an update in early 2017. Our goal is to provide a treatment for every patient with pyruvate kinase deficiency and we are developing a global strategy aimed at the adult and pediatric populations. The excitement around their molecules makes building the clinical organization here at Agios a real pleasure. As we continue to broaden and advance our programs, our team is also expanding to include medical science liaison and other individuals who will be instrumental to delivering the potential benefit our medicines can bring to patients. I am now going to turn the call over to Andrew to review our financials.
Andrew Hirsch: Thanks, Chris. Before I dive into the financial results for the quarter, I want to take this opportunity to say how excited I am to join David and the team here at Agios. It’s just an important time in the company development, as we begin to build out our commercial and global capabilities to bring our groundbreaking science to patients. We are in a strong financial position today and are well-capitalized as we continue to advance multiple late stage clinical programs, maintain our investment in what has been an extremely productive research engine and begin the build out of our commercial capabilities to support anticipated product launches to achieve our vision of an independent multi-product biopharmaceutical company. We ended the third quarter with cash, cash equivalents and marketable securities of $623 million compared to $376 million at the end of 2015. This increase in cash was driven by cash received from Celgene totaling $252 million, which includes a $200 million upfront payment from the May 2016 collaboration agreement, a $25 million milestone from the initiation of the enasidenib Phase 3 IDENTIFY study and $27 million of program funding related to our collaboration agreement. The September 30th cash balance also includes net proceeds of $162 million from our September follow-on offering in which we sold approximately 3.9 million shares of common stock at $44.50 per share. These cash inflows were offset by cash expenses to fund operating and capital expenditures of approximately $166 million during the first nine months of the year. As a result, we now expect to end the year with more than $550 million in cash, cash equivalents and marketable securities. Based on our current offering plans, we expected this amount together with anticipated expense reimbursements under our collaboration agreements with Celgene will enable us to fund our operating expenses and capital requirements through at least the end of 2018. Tuning now to the third quarter P&L, we recognize $9 million of collaboration revenue for the third quarter of 2016, compared to $7 million last quarter and $5 million for the third quarter last year. Research and development expenses were $61 million compared to $51 million for the second quarter of 2016 and $36 million for the third quarter of 2015. The increase in year-over-year R&D expense for the quarter was primarily due to increased enrollment of our clinical trials with AG-120 and AG-519, as well as increase manufacturing activities for both programs. The increase in R&D expense compared Q2 of this year was primarily driven by the increased manufacturing activity during the quarter. Furthermore, the increases in both year-over-year and quarter over quarter R&D expense were also driven by the modification of the Celgene agreement. If you recall as of August 15 of this year, we are responsible for 100% of the development costs for AG-120. So halfway through Q3 we picked up hundred percent of these cost. It’s also important to note that the third quarter 2016 Celgene reimbursement for AG-120 expenses through August 15 is now primarily recognized in the revenue line, as compared to a counter expense in previous periods. This detail we outlined the 10-Q that we plan to file aftermarket today. General and administrative expenses were $12 million for the third quarter compared to $13 million last quarter and $10 million for the third quarter last year. The year-over-year increase was largely due to increased headcount and other professional expenses to support our growing global operation. I will now turn it back to David to wrap up.
David Schenkein: Thanks, Andrew. I'm incredibly proud of our progress to date in 2016. As I mentioned earlier in the call, we made important progress this quarter across the business as we move beyond the clinic to become a global commercial stage company. The data we expect to present over the next month represent the foundation on which our future plans for our IDH and PKR programs will be developed and we look forward to updating you on those plans early next year. For the remainder of the year and into 2017 we're focused on continuing to execute to get our medicines to patients we know are waiting, keeping the patient at the center of everything we do is our driving focus and ultimately creates value for everyone in the Agios community. I'd like to thank all the people at Agios who made these accomplishments possible, also a big thank you to all the patients, doctors, nurses and caregivers who have participated in our clinical trials. Thank you for all your continued support and we look forward to seeing many of you at ASH. And with that, operator we'll turn it over to you for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Eric Schmidt from Cowen and Company. Your line is now open.
Eric Schmidt: Good morning, guys. Let's see half, I mean, wants to run out the clock until 9 o'clock and as you bet your ASH abstracts, but I guess you won't permit that. Either Chris or David its sounds like on the PKR activator program that you're going to make the decision on which compound to move forward, and also decide on the protocol for Phase 3, but you're not going to communicate that decision before year-end or just hope in the next year is that right?
David Schenkein: Yes. So, Eric. Hi, this is David. Yes, we can't give you on the line to line side. So thanks for your question. So we're on track as Chris mentioned, and as I mentioned as well to get all the activities done for both the PKR program and I would also mention for the AG-120 to make some of the really important milestone decisions that we communicated earlier, including the regulatory strategy, timing for 120 and molecule selection pivotal trial design. But we think given that some of the work we still need to get done, including some regulatory meetings will occur later in December that it’s most appropriate to do that in a venue a very early in the year and we'll communicate that obviously to you. So there is no delay, everything remains on track for those important decisions, for us internally by the end of year and we'll communicate them very early in the year in 2017.
Eric Schmidt: And at a late December FDA meetings for both programs too David?
David Schenkein: I think it’s fair to say that we have a series of regulatory meetings throughout December that will impact both those programs.
Eric Schmidt: Okay. And then just a quick one 881 week, we haven't heard much about the compound is – are thing still on track?
David Schenkein: I am going to let Chris answer that one.
Chris Bowden: Yes. Hi, Chris Bowden, here. Things are going well in terms of accrual on the Phase 1 trials for 881 in both human solid tumors and isocitrate [ph] and glioma and as per usual and we have that critical mass of data it allows us to tell a story, we look forward to getting that data in the public domain.
Eric Schmidt: Okay. And very last one is the NDA on Celgene's part 221 associated with the milestone payment?
David Schenkein: It is not associated with the milestone payment and Andrew can articulate a little bit more.
Andrew Hirsch: Yes, so all the regulatory approval milestones for 221 are actually based on ex-US activities.
Eric Schmidt: Thank you.
Operator: Thank you. Our next question comes from the line of Anupam Rama from JPMorgan. Your line is now open.
Anupam Rama: Hey, guys. Thanks so much for taking the question. Looking at next week help us understand what we should be looking for here in the AG-120 chondrosarcoma data that’s going to presented, maybe you outline the scope of data that we'll be getting here next week? Thanks so much.
David Schenkein: Thanks, Anupam for your question. This is David, I am going to turn it over to Chris.
Chris Bowden: So that data comes from patients with chondrosarcoma who were treated on in the dose escalation, as well as the dose expansion component of the AG-120 study. And so that data will get into the safety and efficacy and that cohort of patients. I think it will certainly give people a sense of how a drug behaves from a safety perspective and it will be the first efficacy data that we get out there. And then I think that we're been in discussions with the investigators working with us on the trial, as well as discussing internally what the next steps are and as I pointed out in my remarks there is a range of options that we can pursue and what we ultimately to decide to do will depend on further discussion, both internally and with investigators as well.
Anupam Rama: Great. Thanks so much for taking the question.
Operator: Thank you. Our next question comes from the line of Kennen MacKay from Credit Suisse. Your line is now open.
Kennen MacKay: Thanks for taking my questions. May be once the data, I was wondering if you could just sort of walk us through the decision not to present the updated 221 data ahead of the filings there?
David Schenkein: Yes, so – Hi, Kennen. Thanks for your question. So you know, we communicated this I think in the second quarter when we talked a little bit about this. While there is a difference in practice in different companies, I think Celgene and Agios are pretty aligned that in general we prefer not to present public - into the public domain data that we know is going to be sitting in a regulatory file until we've had the opportunity to really share that with the regulators and have them had an opportunity to review it and hopefully accept those files. That's general practice. I mean, sometimes you will break that rule. But in this case we felt pretty strongly as the Celgene that it made sense to keep that data internal until it's been vetted and reviewed by the FDA. And…
Kennen MacKay: And David, also on the IDH inhibitors, you'd always mentioned, sort of the focus isn’t necessary just on the CRA [ph] they are accrete ORR for duration of therapy, you know, these patients have a very clean safety profile, enable to patients that have a recovery in their blood counts, which could stave off infections, which could be went to mortality, should we sort of be thinking that there could be enough data to maybe show some kind of survival benefit in this population?
David Schenkein: Yeah, Kennen, so obviously as we've said before, and Chris and I have both said that, it's really good to be the totality of the data and that's what makes us so excited by the data that we generated to date, its the entire profile of the drug, it’s a, as you said, knowing the right patients is the first really truly targeted therapy, certainly the first targeted against IDH that will be at this stage, its the safety profile, is the profound efficacy, the CRs, but everything else we're seeing as well and we think that will potentially provide real clinical benefit for patients. Obviously we'll be looking at survival data for both enasidenib and AG-120, remember there is no control arm in those studies, but we do have a very a very good historical controls. So again, we continue to remain incredibly excited by the data we've seen and look forward to sharing that obviously with the regulators very shortly and then with the rest of you.
Kennen MacKay: Got you. And then maybe, just the final question on upcoming catalyst, I was wondering if you could give us any guidance as to when we might see combination data from the combo trials with 7+3 and HMAs and VIDAZA?
David Schenkein: Chris?
Chris Bowden: Kennen, its Chris here. Those trials are ongoing, and as per our usual policy is that when we've got an adequate dataset for these trials, which are really about feasibility, safety and tolerability we will publish those s data and provide some guidance as to when that will be, and we're not able to do that at this time, but the trials accruing well.
Kennen MacKay: Fair enough. Thanks, guys. I appreciate it.
David Schenkein: Yes, thanks.
Operator: Thank you. Our next question comes from the line of Kevin Dolph from Needham & Company [ph] Your line is now open.
Unidentified Analyst: Hello, you guys. Thanks for taking my call. Can you hear me well?
David Schenkein: Yes, we can hear you.
Unidentified Analyst: Wonderful. Okay, so couple of my questions have already been answered. But I was wondering if you could expand again on the molecular data that’s being presented on AG-120, you talked about the mutant IDH1 levels, so just wondering if you could expand on that a little bit?
David Schenkein: Well, before turning it over to Chris, thanks your question. This is David. We can't expand too much, remember we can - you just maybe clarify Chris's comments, the abstracts will be out later this morning, and then obviously there will be a lot more data at the meeting. So Chris?
Chris Bowden: As we've been doing in our AML trials is that we make collection of tissue, that’s really important component of what we're doing in order to try to gain a greater understanding of what's happening at the molecular level. Last year at ASH we presented some data looking at co-occurring mutations in patients that were treated on that trial. And this meeting update that's going presented at ASH this year is part of that overall molecular - the series of molecular investigations that we're looking at and what we've been doing is looking at what happens to the IDH1 mutant clone in patients with AML who are treated on that trials as they are treated over time. And what we've demonstrated is that some patients have - with a complete remission also have mutational clearance. So we're looking forward to San Diego to providing some details, further details around that clear types of assays that we're conducting, more quantitative data around that, what that profile looks like over time and those types of issues.
Unidentified Analyst: Okay…
David Schenkein: This is David…
Unidentified Analyst: Oh, sorry…
David Schenkein: Let me just add - yes, I'll just add that I think as Chris has mentioned, but just to remind you what I think makes this so important data is remember this is with a single agent in the relapse refractory setting. Go ahead with your next question?
Unidentified Analyst: Just like a quick follow-up on that and then I do have one other quick question. So can I – is it safe to assume that these types of studies are also been applied for 221 and 881 as well to understand how things are changing upon treatment?
Chris Bowden: Yes, we look at these types of – we conduct these types of investigations in our IDH inhibitor program and patients with AML.
Unidentified Analyst: Okay. And then I have a last question, you talked about MRI imaging technologies that you're developing AG-120 in glioma, are these type of technologies are going to be applied to 981 where Celgene has some partial control over those studies?
Chris Bowden: Yes, so-so the MRI volume metric methodology that I was talking about and that we've been looking at in our studies is really important radiographic technique for us to try to get a deepen understanding as we can of treatment effect AG-120 and potentially AG-88 81 in patients with glioma. So a lot of really important component of what we're doing in the AG-120 [ph] expansion cohort in patients with glioma is to really build those foundations and get all the centers aligned in terms of how we're going to conduct these techniques to try to reduce interinstitutional variations and how they assess MRI scans, how they actually acquire the MRI scans.
Unidentified Analyst: Okay. Great, thanks. So that’s all the questions I had.
David Schenkein: Thank you.
Operator: Thank you. Our next question comes from the line of Yatin Suneja from SunTrust. Your line is now open.
Yatin Suneja: Hey, guys. Congrats on all the progress and thank you for taking my question. Just a couple of questions on the PKD, could you maybe give us an update on how many additional healthy volunteers you have treated with 519and any updated comment on the safety profile, specifically with regard to the thrombocytopenia? And then I have a follow up.
David Schenkein: Yes. So, before I turn it over to Chris. Yatin, thanks for your question. We don’t give out those kinds of details. I mean, the abstracts will be out, so to be some information there and then - but let me turn it over to Chris.
Chris Bowden: So the trial continues and what you – we're putting healthy volunteers on to the study. It's really important part of this aspect of understanding which molecule we are going to select, so that we have the totality of data around both AG-348 and AG-519 to guide us into a molecule selection decision by the end of the year.
Yatin Suneja: Okay. Just a question on the pivotal program, so recently we saw Agios agreeing to a fairly unique two-stage pivotal trial in sickle cell disease space, where the first part is trying to figure out the dose and then you evaluate the dose in the second part. I mean, obviously, you can't comment on the pivotal program that you are going to run with your PKD molecules, but could you adopt a similar trial design for let's say you move 519 ahead since you don't know the dose in patients?
Chris Bowden: Yatin, its Chris here. We are working really hard on putting our pivotal trial design together internally and we're discussing that with regulators. And I am not able to disclose details around what that trial looks like today. I would point out and as acknowledge as you pointed out that sickle cell is a different disease from pyruvate kinase deficiency. And so the types of things that we've demonstrated with DRIVE PK, you know, robust increases in hemoglobin, we discussed what we think is a clinically meaningful increase in hemoglobin, it’s somewhere between 1 to 2 grams based on transfusions – outcomes with transfusions, splenectomy, et cetera. Those are the things that we are incorporating into our thinking around our pivotal trial and what we are discussing with regulators, as well as investigators and experts who treat patients with this disease.
Yatin Suneja: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Terence Flynn from Goldman Sachs. Your line is now open.
Terence Flynn: Hi. Thanks for taking the question. Maybe just a couple on PKD from me as well. Can you just remind us if there's any correlation between genotype and transfusions status and then if not, why not? And then the second question at this point just if you're confident you'll be able to include a transfusion patient in the pivotal trial program, or is there a possibility that you could have additional work, you need to do? Thanks.
David Schenkein: Thanks, Terence. This is David here. Thanks for your questions. Chris?
Chris Bowden: So with regard to the second part of your question, we are not able to disclose yet, we're not providing guidance on what that patient population looks like, and specifically transfusion-independent or regularly transfused in a row. The second piece is the – I'll approach it from the perspective of, can one determine disease severity on the basis of genotype and published data to date hasn't been too clear on that. And in fact, when you see patients with identical genotypes they have varying severity of disease. So why that is your question, we don't know and its certainly something that we're hoping that we'll be able to find out or learn more about as we continue to study this disease, both without drugs, as well as through the natural history study.
David Schenkein: But, Terence - David here. Let me just add and as you know we've talked about this, our commitment in pyruvate kinase deficiency is to develop our molecule through all patient populations and all age groups that’s the goal here.
Terence Flynn: Okay. Thanks a lot guys.
Operator: Thank you. Our next question comes from the line of Michael Schmidt from Leerink Partners. Your line is now open.
Michael Schmidt: Hi. Good morning. And thanks for taking my questions. I had another one on the PKD program and I know you've presented data looking at correlation was - you know hemoglobin increases with genotype, but I was wondering if there was a dependency on baseline hemoglobin levels in your response to the drug and in this context how you think about the opportunity in beta thalassemia.
David Schenkein: Michael, thanks for your question. David, here. So we've talked about this in the past that you know, the patient numbers from our first presentation at EHA was limited to 18 patients. And so is was just a little bit too early to draw any strong conclusions. As Chris, just articulated to the last question, we think probably genotype is probably the most likely predictor of response to our PKR activator, as opposed to baseline hemoglobin because baseline hemoglobin is affected by many different factors, including whether or not the patients had their spleen removed when they were a child, how often they are getting transfused, et cetera. So I just think we'll focus right now on genotype more than anything else. And again, as you mentioned, I mentioned earlier, our commitment is to create a medicine that will help all of these patients. Oh, yes, your second part of your question is around thal, very different disease obviously. We presented as you know some preclinical data and we're hoping to be able to update you by the end of next - by the end of this year or early in the year in terms what our plans are in other hemolytic anemias.
Michael Schmidt: Okay, great. Thanks. And maybe one more on the MTAP program, I know, its still early, but sort of how do you think about the opportunity there, more broadly speaking, are you initially focusing on one drug, one target there or multiple and sort of are there certain tumor types that could be you know, that the low hanging fruit for those agents initially? Thanks.
David Schenkein: Yes. Michael, thanks for the question. Again, it’s a very exciting program for us. We haven't given a lot of details yet. But Scott Biller, our Chief Scientific Officer is with us this morning and let me let him give you a little bit more on that.
Scott Biller: Yes, happy to comment. This is Scott. Yes, as you know that this deletion is present and have cost 15% of all human tumors and it’s prevalent to a high percentage in some tumors and in other tumors is small percentage, but they haven't to be very big populations. So think about you know out translocations in cancer. So we are not guiding as to what our clinical strategy would be. We're focusing on meeting our milestone of getting a molecule into preclinical development. But we're also focused on - and the MTAP believed vulnerabilities is a pathway, there is multiple targets there, we think there is lots of opportunity and are very excited to bring our molecule forward.
Michael Schmidt: Great. Thank you.
David Schenkein: Yes.
Operator: Thank you. Our next question comes from the line Kennen MacKay from Credit Suisse. Your line is now open.
Kennen MacKay: Hey. Thanks for taking the follow-up. I just had an additional question on the sort of drug-induced thrombocytopenia that we are seeing with 519, and sort of wondering if there was any additional data you could present to sort of confirm that mechanism? And then sort of on a population basis, if there's anything else you could do to sort of confirm how rare this would be expected to be in sort of a broader population?
Chris Bowden: Hi, Kennen. It’s Chris, here. If you look at put some pretty extensive literature on drug immune - drug-induced immune thrombocytopenia there is several different mechanisms that are presented for why this occurs. And sorting all that out can be challenging, I think from our perspective, the way we look at this is that it's a – and a fact that we expect to be rare based on what you see with other drugs with this is been reported on, in this patient population of individuals with pyruvate kinase deficiency they have their blood monitored on a regular basis. So this is something that can be monitored and addressed, if that were to occur. Overall, in terms of doing population-based studies to, try to get a better handle on what the frequency is, we've looked at lot of that, that literature is published now on a large number of drugs and it's consistent with the fact that this occurs rarely and for the most part when you stop drug it goes away, and I think we're comfortable with those things at this point. What are our goals are and our forward-looking clinical trials, is to monitor carefully and have good directions in place, if in fact this would were to be observed again.
Kennen MacKay: Thanks, Chris. That’s super helpful. And I guess, from our perspective as analyst, is that, aside from sort of looking at [indiscernible] with other drugs that are out there, is there anything else we should sort of be focusing on in terms of sort of gaining comfort around this as a rare event or is just going to be sort of seeing additional patients and not seeing this occur again?
Chris Bowden: I think from our perspective, I think you have the literature experience with a plethora drugs that have been developed and are on the market and yes, I think we'll - something that we'll need to continue to monitor for. And as we continue to expand the programs.
Kennen MacKay: Okay. Thanks, Chris and everyone. I appreciate it.
David Schenkein: Thanks, Kennen.
Operator: Thank you. And I would now like to turn the call back over to David Schenkein for closing remarks.
David Schenkein: I'd like to thank everybody for participating in the call today. Again, thank all the patients and caregivers and nurses who participate in our clinical trials and all the Agios employees, really tremendous work and all you for your support. Enjoy the rest of your day and thanks again.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may disconnect. Everyone have a great day.